Operator: Good afternoon, ladies and gentlemen, and welcome to the Benchmark Third Quarter 2025 Earnings Call and Webcast. [Operator Instructions] This call is being recorded on November 4, 2025. And I would now like to turn the conference over to Paul Mansky. Thank you. Please go ahead.
Paul Mansky: Thank you, Ina, and thanks, everyone, for joining us today for Benchmark's third quarter 2025 earnings call. With us today are Jeff Benck, our CEO; David Moezidis, our President and Chief Commercial Officer; and Bryan Schumaker, our CFO. After the market closed, we issued an earnings release pertaining to our financial performance for the third quarter ending September 2025, and we have prepared a presentation, which we will reference on this call. Both the press release and presentation are available under the Investor Relations section of our website at bench.com. This call is being webcast live and a replay of which will be available on our website approximately 1 hour after we conclude. The company has provided a reconciliation of our GAAP to non-GAAP measures in the earnings release as well as in the appendix to the presentation. Please take a moment to review the forward-looking statements disclosure on Slide 2 of the presentation. During our call, we will discuss forward-looking information. As a reminder, any of today's remarks, which are not statements of historical fact, are forward-looking statements, which include risks and uncertainties as described in our press releases and SEC filings. Actual results may differ materially from these statements. Benchmark undertakes no obligation to update any forward-looking statements. For today's call, Jeff will start with an overview, followed by Bryan's detail of our Q3 results and forward guidance. We will then turn the call over to David to discuss demand trends by sector and some additional color on recent wins. Jeff will conclude with some final remarks before opening the call for Q&A. If you'll please turn to Slide 4, I'll turn the call over to our CEO, Jeff Benck.
Jeffrey Benck: Thank you, Paul. Good afternoon, and thanks, everyone, for joining today's call. Before I get started, I would like to remind everyone of a press release we issued in early September, detailing our succession planning at Benchmark, in which we announced that David Moezidis has been promoted to President and will be the next Benchmark CEO effective March 31, 2026, upon my retirement. I'm confident in the Board's decision and believe he's the right successor as we embark on the next phase of the company's growth. Congratulations again, David. Now onto our third quarter 2025 results, which again demonstrated our consistent execution. Revenue of $681 million showed a return to year-over-year growth, with non-GAAP EPS of $0.62. Both revenue and earnings were at the high end of our prior guidance. Q3 represented the eighth consecutive quarter of 10% or greater gross margin. As we'll discuss momentarily, I was particularly encouraged by the broadening of sectors that contributed to our revenue growth. We expect this trend to continue in the fourth quarter, where we anticipate improving year-over-year growth. Turning to Slide 5 for highlights in the quarter, mapped to our strategic objectives. During the quarter, we saw double-digit year-over-year growth in both medical and A&D and sequential growth in 4 of our 5 sectors. Semi-cap was the exception where we saw some softening in demand from our OEMs due to increased China restrictions and the evolving tariff environment. Meanwhile, we continue to book new program wins in this sector, which David will speak to later in the call. Our reacceleration of revenue has been supported by solid momentum through the year in new bookings. The third quarter was a continuation of the same, including strategic customer wins in both engineering and manufacturing. Turning to financial discipline. The entire team remains focused on working capital management and improving our inventory turns, the result of which was a multiyear record cash cycle quarter. Coupled with our net income performance, we generated $25 million in free cash flow, which adds up to greater than $74 million generated over the last 12 months. We're doing this while continuing to invest in the business, including the construction of our new 4th PT building in Penang, Malaysia. I might add that while we're investing abroad, our Americas manufacturing footprint is still approximately 50% of our total capacity, which is a key differentiator as more customers look to build domestically, or at least increase their exposure to U.S. manufacturing production. I'll now turn the call over to Bryan to discuss our third quarter results in more detail and provide our fourth quarter outlook. Bryan, over to you.
Bryan Schumaker: Thank you, Jeff, and good afternoon, everyone. Please turn to Slide 6. Revenue in the quarter of $681 million was up 6% sequentially and at the high end of prior guidance. Our non-GAAP EPS was $0.62 at the high point of prior guidance of $0.56 to $0.62. As a reminder, our non-GAAP results exclude stock-based compensation, amortization of intangible assets, restructuring, and other expenses. For Q3, our non-GAAP gross margin was 10.1%, down 10 basis points sequentially and year-over-year due to mix. Non-GAAP operating margin was 4.8%, up 10 basis points sequentially, driven by our ability to leverage our cost basis on higher revenue. Our third quarter non-GAAP effective tax rate was 24.5%. Please turn to Slide 7 for our third quarter 2025 revenue performance by sector. AC&C revenue was up 18% quarter-over-quarter, while down year-over-year. In medical, revenue was up 15% versus the prior quarter and 18% year-over-year. Industrial revenue was up 8% quarter-over-quarter and 1% year-over-year. In A&D, revenue was up 2% quarter-over-quarter and 26% year-over-year. Finally, semi-cap revenue decreased 3% quarter-over-quarter and 1% year-over-year. Please turn to Slide 8 for trended non-GAAP financials. Q3 revenue was up compared to prior quarters, and we have consistently delivered non-GAAP gross margin of 10% or more. Please refer to Slides 9 and 10 for a discussion of our balance sheet, cash flow, and working capital trends. In Q3, we generated $37 million in operating cash flow and $25 million in free cash flow. Our cash balance on September 30 was $286 million, an increase of $21 million from Q2. As of September 30, we had $149 million outstanding on our term loan and $70 million outstanding against our revolver, from which we have $476 million available to borrow. Our Q3 2025 liquidity ratio, as calculated by our debt covenant, was 0.2x, down from 0.7x in the prior year period. We invested approximately $11 million in capital expenditures during the quarter, primarily to enhance capabilities and infrastructure at our Americas and Asia facilities, supporting long-term growth and operational efficiency. Demonstrating our ongoing commitment to return value to shareholders, we distributed cash dividends of $6 million and repurchased $10 million in stock during the quarter. At the end of the quarter, we had approximately $124 million remaining in our existing share repurchase authorization. Our cash conversion cycle in the quarter was 77 days, improving 8 and 13 sequentially and year-over-year, respectively. Inventory days were down 8 sequentially as we continue to actively manage our inventory as we grew the top line. This focus translated into inventory turns of 4.8 in the quarter. Please advance to Slide 11. Let me now turn to our guidance for our fourth quarter of 2025. We expect revenue to be within a range of $670 million to $720 million, up mid-single digits year-over-year at the midpoint. We expect non-GAAP gross margin to be between 10.1% and 10.3%. With those assumptions, we would expect non-GAAP operating margin to be between 5% and 5.2%. On a GAAP basis, we expect expenses to include approximately $2.3 million of stock-based compensation and $4.9 million to $5.3 million of nonoperating expenses, including amortization, restructuring, and other charges. Our non-GAAP diluted earnings per share is expected to be in the range of $0.62 to $0.68. Interest and other expenses are expected to be approximately $4.3 million. We expect our Q3 effective tax rate will be between 24% and 25%. Our weighted average share count is expected to be approximately 36.2 million. With that, I would like to turn the call over to David to discuss market sector performance and outlook. David?
David Moezidis: Thank you, Bryan, and hello, everyone. Let's please turn to Slide 12 for a discussion of our performance and outlook by sector. I'm pleased to share that we had another terrific quarter of meaningful bookings. Our go-to-market strategy and our breadth of capabilities in all geographies differentiate us well in the market. Let's turn to some of them. First, our AC&C revenue performed better than initially expected in the third quarter. While we were down year-over-year, we saw strong sequential growth aided by improvements in both advanced computing and communications. During the quarter, we had several bookings, one in engineering and in EMS, a notable award for a security appliance program. To summarize our outlook on AC&C, we have much improved visibility into a return to growth as a result of our AI wins that are starting to ramp in Q4 and into 2026, coupled with HPC builds over the coming quarters. Turning to medical. As I shared on our July call, we believe we've turned the corner in the first half of the year as our customers' channel inventory normalized and end demand improved. At the same time, we have been ramping new products from prior bookings reported earlier in the year. In the quarter, this translated to a return to revenue growth in the teens, both sequentially and year-over-year. These same dynamics lead us to expect sequential and year-over-year growth to continue in the fourth quarter. Longer term, I continue to be encouraged by our traction in the medtech subsector, which has been growing for several quarters now. In fact, medtech delivered a few large engineering wins in the quarter across more than just one customer. We view engineering as an excellent on-ramp to potential follow-on manufacturing wins. Our industrial sector revenue performance was up high-single digits sequentially but flat year-over-year. This was consistent with the expectations we provided on the last quarter's call, which calls for strengthening throughout the balance of the year. We continue to see that being the case with a return to year-over-year growth expected in the December quarter. I was pleased by the industrial sector's bookings this past quarter, which included a number of manufacturing wins in the transportation subsector as well as design work in surveillance and detection. Looking forward, we view industrial as representing a substantial source of future upside for us, both as a function of expanding our base business as well as adding new market-leading customers. Moving to A&D. We had another strong double-digit year-over-year revenue performance in the quarter and expect solid year-over-year revenue growth in Q4. This is driven by stability in commercial air, while defense demand remains strong. Meanwhile, our satellite and space business continues its impressive ramp, which has seen bookings momentum steadily building throughout the year. In the third quarter, we saw a significant step up, which I'm excited to say included a couple of very substantial manufacturing wins. Our broad exposure across growth subsectors in A&D, coupled with ongoing new business momentum, provides us with confidence in the sector. Finally, in semi-cap, September quarter revenue was roughly flat as expected as new program ramps were offset by near-term industry challenges and cyclical recovery. Although semi-cap demand is taking longer to ramp than traditional cycles, the multiyear growth catalysts are evident everywhere, from incremental AI-related demand to increased silicon content in everyday products to daily announcements of new fabs being planned. Throughout, our commitment to this sector is unwavering, evidenced by our capacity expansion, both domestically and in Malaysia. This commitment resonates with our customers, as every quarter, we see program expansion wins spanning both across precision machining and engineering. Although, near-term demand signals remain mixed, looking a bit further out, our conversations with customers point to signs of strengthening in the second half of 2026, with the potential of acceleration as the year progresses. In summary, as you can tell, some very exciting things are going on across each of our market sectors. I look forward to updating you on our progress in the coming quarters. With that, I'd like to turn the call back over to Jeff for his closing remarks. Jeff?
Jeffrey Benck: Thanks, David. Please turn to Slide 13. I firmly believe Benchmark is at one of the most compelling points in the company's history. Over the last 90 days, I've traveled around the world visiting some of our top customers, and I'm both impressed with and grateful for the depth and breadth of the strategic partnerships my team and I have established over the last 7 years. At the same time, I visited many of our facilities in North America, Thailand, Malaysia, Romania, and the Netherlands, where our site teams are executing well and focused on customer satisfaction, driving further efficiencies and providing a safe work environment for our employees. We've also built a commercial organization designed to complement our site teams and accelerate our business development efforts. Our unique value proposition and customer-centric approach is clearly resonating and our bookings momentum with existing customers and new competitive takeaways is proving the point. Our diversified portfolio in 5 high-value sectors better enables us to successfully navigate market fluctuations. As we've progressed through the first 3 quarters of 2025, we've achieved a return to sequential growth. And now with our third quarter results and 4Q guide, we return to year-over-year growth. As we've improved our business fundamentals, incremental growth in 2026 will enable us to demonstrate leverage in our model that will enable us to grow earnings faster than revenue. Throughout, we will continue to prudently manage our spending to balance growth, profitability, and cash generation, while at the same time, returning capital to shareholders. With that, I'll now turn the call over to the operator to conduct our Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Steven Fox from Fox Advisors.
Steven Fox: A couple of questions, if I could. First of all, on the high-performance compute comments, I know that those programs at times have been quite sizable. Can you maybe just characterize them? And I guess we're talking about sometime mid-to-late '26 to see revenues from what you're talking about.
Jeffrey Benck: Yes. I think we talked about on the script about a few things. We certainly have seen traditionally with our high-performance computing, working on 3 of the top 5 [ supercomputers ] in the world. Those are really large projects, and they can last for multi-quarters. But, they tend to be -- they have a fixed duration that goes on and then ends. We are working on some new solutions that will go into some of the large government installations with our customers, and we expect that we'll start to see work on those in '26. Some of that will even move into '27. But one of the things, Steve, we talked about as well on the call is that, that capability for those large platforms and the water-cooled infrastructure that we have supporting that is also enabling us to play more directly in some of the AI opportunities. And so, while we're not really looking at the cloud, what you would say, the model builders or necessarily the cloud infrastructure guys, we are looking at the sovereign AI and enterprise AI opportunities and see an opportunity to participate there, which is what we talked about starting from this quarter and ramping into '26.
Steven Fox: And then just on the semi-cap comments. We've heard from a number of companies that have been talking about customers pointing to the second half of '26. I was wondering if you could address the probability, the time line, why it can happen. And secondly, you did mention some of your advanced machining capabilities pulling down some wins. I wonder if that was more or less momentum or anything else you could say about what's going on with machining in terms of winning programs.
David Moezidis: Steven, I'll take that one. This is David. Let me start by our view of the second half. It really has a lot to do with the customer conversations that we've had. As you're probably aware, SEMICON was here. The show was in Phoenix a few weeks ago, and we had the opportunity to sit down with pretty much all of our customers, and then we had some follow-up sessions after that as well. And for the most part, there was a lot more optimism exuded in the conversations than I would say in prior years. And there was more dialog around what we're doing to position ourselves and prepare ourselves for the liftoff. So that's why we thought it's important to point out that there's indications -- positive indications that this is going to pick up in the second half of 2026. For the second part of your question around precision machining and our continued wins in that space, I'd say the fact that we've made these significant investments, particularly in Penang, Malaysia, has really served us well. A lot of our customers are looking at their supply chain and looking to partners like us to provide them with alternate solutions, particularly in low-cost locations. We're in a terrific position to be able to do that. And as Jeff mentioned, we are investing in PT 4, which further positions us to expand in this space.
Steven Fox: Congrats, David, on your appointment as well.
Operator: Thank you. And your next question comes from the line of Max Michaelis from Lake Street Capital Market.
Maxwell Michaelis: I want to go back to the A&D space. Looking at the space award, can you remind me, is this your second award? And then as well, maybe along with the A&D space, is there any other subsectors, niche areas of A&D that you're also seeing green shoots from similar to space?
David Moezidis: I'll address that. This is David. The one that we've been really bullish on and we've been calling out it has been in the space and communication arena. And this is somewhat of a 1-2 combination. We won some business in the prior period, and we won some more incremental business in the current period. So that's somewhat -- some of the elements we're talking about step up in our confidence in this space.
Jeffrey Benck: I also might just add that we -- while space has been particularly stronger for us and our work there, we also just continue to see the defense side of the business do well. So obviously, defense spending is pretty -- is increasing, particularly in Europe, as well as maintaining the level in the Americas. So that really has underpinned the strength. And then adding to that, some of this new space is -- those 2 are probably outdriving growth over traditional commercial air for us.
Maxwell Michaelis: And then last one for me, just around AI. Have you guys thought about what the enterprise AI and some of these large programs that you're ramping up next year, what AI could be as a percentage of revenue of the AC&C business?
Jeffrey Benck: Yes. We, have talked about it. And certainly, we're looking at forecasts. I think we just want to get a bit further into it before we really try to put an estimate on it, just because the timing is not always exactly defined in terms of the ramp. We know there's a lot of demand there. But because we're not really focused on the hyperscalers, but supporting more of the commercial and enterprise kind of opportunities, I think, that is staged a little bit later than some of these huge buildouts that we've seen right now. And then the sovereign AI, you have seen governments say, look, we don't want to rely on everything just in the cloud. And we're excited about that opportunity as well. We're talking about it because it can be meaningful, but I think it's a little early. I'd like to see us ramp it a couple of quarters and be able to give you more color. So I would say, hang tight and as we get into '26, we'll try to give you a little more visibility.
Operator: [Operator Instructions] Your next question comes from the line of Jim Ricchiuti from Needham.
James Ricchiuti: You may have touched on this. I apologize. I joined the call a little late, but I'm wondering if customers in any of your verticals that have exposure to the government have expressed any concerns or seeing any delays at all related to the government shutdown.
David Moezidis: Jim, this is David. We've actually seen minimal impact in the shutdown affecting our customers. We've got long-range contracts. And as a result of that, it's really not being felt by us. So that's really the short answer.
Jeffrey Benck: Although that being said, we'd love to see it come to an end just because the knock-on effects of going longer, there's probably some inevitability that somewhere we may see something. But we're fortunate, to this point, as David said, we really aren't seeing an impact yet.
James Ricchiuti: And then maybe switching gears over to the medical. Some of the supply chain and industry players in this vertical, I think, have called out the fits and starts in the medical market over the past year. I'm just wondering how you're seeing demand as you look out into 2026. Have we seen the inventory levels get burned down? Are you just a little bit more confident about the momentum and the recovery in this part of the business?
David Moezidis: Yes. It's, David again. Look, I think there's 2 parts to the answer. One is -- and I mentioned this in the July call, and I perhaps exuded some bullishness as a result of it, where I mentioned that we feel that we've turned the corner as the inventories were starting to clear up in our customers' channels. And certainly, that's proving to be right. And we've seen pretty good growth in Q3, and we're projecting that growth to continue into Q4 and 2026. But let me talk about the other side of the equation. On our July call, I had also mentioned that we won a competitive takeaway, which was a lift and shift. And the reason why I emphasize the word lift and shift, in medical, when you get a lift and shift when the time to revenue is certainly faster than when you win something ground up, and the ground-up opportunity could take 18 to 24 months or longer for it to hit volume. But when you do a lift and shift competitive takeaway, it moves a lot faster. And the compliment goes to our engineering and our operations team for coming up with a world-class automation solution in this particular award.
James Ricchiuti: David, thanks for the reminder on that. And by the way, I wish you best of luck. You as well, Jeff.
Operator: And your next question comes from the line of Anja Soderstrom from Sidoti.
Anja Soderstrom: A lot has been covered already. But nice work on the cash cycle. Is there more room for improvement there? Or how should we think about cash conversion?
Bryan Schumaker: Yes, you're right. We've made significant progress if you look over the last couple of quarters, especially in the inventory. And it started off at 89 days in Q1, went down to 83 days in Q2, and now in Q3 hit 75. So yes, we've had a lot of focus on that, working with advanced planning, global procurement excellence, working with customer engagement, supplier collaboration, lean manufacturing. So we feel good about where we're going with this. We may see some bumps depending on the growth side of it. But as you saw this quarter, we've been able to manage through that and feel good about our position. So we're at 4.8 turns right now. Again, we've always talked about the 5.5 moving in that direction. So we feel good about the continued momentum there.
Anja Soderstrom: And then how should we think about CapEx spend for 2026? Do you expect that to accelerate over this year or...
Bryan Schumaker: Yes. It's probably up some from this year. If you look at finishing up PT 4, continue to invest in our factories, both on the automation front and some other things to continue to improve the performance out of the factories. And then also, as you think about some of the growth that David and Jeff have been talking about, we may experience some additional there. So it won't be significant, but it is moving towards that top end of 2% probably.
Jeffrey Benck: Yes, definitely growth driven as we have a number of large wins that won't be so much more facilities related other than the PT4 finish that Bryan talked about, but just incremental equipment in the facilities to support some of the revenue growth. I could anticipate seeing a tick up there.
Paul Mansky: Operator, are there any other questions?
Operator: No further questions at this time. I will now hand the call back to Mr. Paul Mansky for any closing remarks.
Paul Mansky: Thank you, Ina, and thank you, everyone, for participating in Benchmark's Third Quarter 2025 Earnings Call. For updates to upcoming investor conferences and events, including a replay of this call, please refer to the Events section of the IR website at ir.bench.com. With that, we thank you again for your support and look forward to speaking with you soon. Have a good evening.
Operator: And this concludes today's call. Thank you for participating. You may all disconnect.